Operator: Good morning and welcome to the Dominion Resources and Dominion Midstream Partners First Quarter Earnings Conference Call. At this time, each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. Instructions will be given after the procedure to follow if you would like to ask a question. I would now like to turn the conference over to Tom Hamlin, Vice President of Investor Relations and Financial Planning, for the Safe Harbor Statement.
Thomas E. Hamlin - Vice President, Financial Planning and Investor Relations: Good morning and welcome to First Quarter 2016 Earnings Conference Call for Dominion Resources and Dominion Midstream Partners. During this call, we will refer to certain schedules included in this morning's earnings releases and pages from our Earnings Release Kit. Schedules in the Earnings Release Kit are intended to answer the more detailed questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification of these schedules. If you've not done so, I encourage you to visit the Investor Relations page on our website, register for email alerts and view our first quarter earnings documents. Our website addresses are, dom.com and dommidstream.com. In addition to the Earnings Release Kit, we have included a slide presentation on our website that will follow this morning's discussion. And now for the usual cautionary language. The earnings releases and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent Annual Reports on Form 10-K and our Quarterly Reports on Form 10-Q for a discussion of factors that may cause results to differ from management's projections, forecasts, estimates and expectations. Also, on this call we will discuss some measures of our company's performance that differ from those recognized by GAAP. Reconciliation of our non-GAAP measures to most directly comparable GAAP financial measures we are able to calculate and report are contained in the Earnings Release Kit and Dominion Midstream's press release. Joining us on the call this morning are our CEO, Tom Farrell, our CFO, Mark McGettrick, and other members of our management team. Mark will discuss our earnings results for the first quarter and Dominion's earnings guidance for the second quarter and full year 2016. Tom will review our operating and regulatory activity and review the progress we have made on our growth plans. I will now turn the call over to Mark McGettrick.
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Good morning. Dominion Resources reported operating earnings of $0.96 per share for the first quarter of 2016, landing in the middle of our guidance range of $0.90 to $1.05 per share. Earnings drivers were as expected, with the exception of slightly milder weather, which was $0.03 per share lower than normal. GAAP earnings were $0.88 per share for the first quarter. The principal difference between GAAP and operating earnings was a charge relating to an organizational restructuring across our company made to improve the efficiency of our reporting structure. This one-time staffing charge will support lower labor expenses in the future. A reconciliation of operating earnings to reported earnings can be found on Schedule Two of the Earnings Release Kit. Moving to results by operating segment. At Dominion Virginia Power, EBITDA for the first quarter was $385 million, which was in the lower half of its guidance range. Kilowatt-hour sales were modestly below expectations, primarily due to mild weather. Dominion Generation produced EBITDA of $610 million in the first quarter, which was in the middle of its guidance range. Lower operating expenses offset lower merchant margins and lower-than-expected kilowatt-hour sales at Virginia Power. First quarter EBITDA for Dominion Energy was $377 million, which was within the upper half of its guidance range. Lower operating expenses were the principal driver of the strong results. On a consolidated basis, interest expenses and income taxes were in line with our expectations. Overall, we are pleased with the performance of each of our operating segments. For the first quarter of 2016, Dominion Midstream Partners produced adjusted EBITDA of $24.9 million, more than double the level produced in the first quarter of last year. Distributable cash flow increased 71% to $20.3 million, which was consistent with management's expectations. Because of our strong cash position, we elected to accelerate certain planned maintenance activities at Dominion Carolina Gas that led to higher expenses in the first quarter that will not appear in future periods. On April 19, Dominion Midstream's board of directors declared a distribution of $22.45 per unit payable on May 13. This distribution represents a 5.2% increase over last quarter's payment and is consistent with our plan to achieve 22% annual distribution growth for LP units. In the next few days, we are planning to file with the SEC for an at-the-market issuance program for up to $150 million in DM common units. As a reminder, we do not need to access the markets to fund Dominion Midstream's 2016 distribution growth. However, should we decide to utilize this program, it would improve the trading liquidity of DM units, something that many of our investors have asked us about. Moving to cash flow and treasury activities at Dominion. Funds from operation were $1.1 billion for the first three months of the year. Commercial paper and letters of credit outstanding at the end of the quarter were $3.1 billion. We have $5.5 billion of credit facilities and, taking into account cash and short-term investments, ended the quarter with liquidity of $2.6 billion. For statements of cash flow and liquidity, please see pages 14 and 25 of the Earnings Release Kit. Our public financing activities so far this year have included $750 million of senior notes at VEPCO and $550 million of junior subordinated notes which were remarketed at the Dominion Resources level. This remarketing was related to the conversion of common equity for the first tranche of mandatory convertible units issued in 2013. The remaining $550 million tranche will be remarketed later this quarter. In addition, we raised $750 million of common equity through a block sale in April. $500 million from that sale has been earmarked for the Questar acquisition, while the remainder was for general corporate financing needs. We have a number of debt financing planned for the remainder of the year, including issuances at Dominion, Dominion Gas Holdings, and VEPCO. In addition, you should expect us to issue incremental mandatory convertible units to support the Questar transaction, as we outlined on our year-end earnings call. Looking ahead to the second quarter, Dominion's operating earnings guidance is $0.65 per share to $0.75 per share, compared to operating earnings of $0.73 per share for the second quarter of 2015. Positive earnings drivers for the quarter compared to last year are higher revenues from our growth projects, lower capacity expense and an increase in solar-related investment tax credits. Negative drivers for the quarter are a refueling outage at Millstone, a return to normal weather and share dilution. Dominion's operating earnings guidance for the year remains $3.60 to $4 per share. Combining 2016 actual results for the first quarter with second quarter guidance produces year-to-date results that are $0.06 per share below last year's. Because of this shape to earnings, we want to highlight the earnings drivers in the second half of 2016 which will allow us to achieve our annual guidance range. Slide eight shows 2015's six months actual results of $1.72 per share and the $0.06 per share projected decline for the first half of this year, primarily due to last year's weather and this year's Millstone outage. However, we have some very significant growth drivers the last six months of this year. First, we expect a return to normal weather, which will allow us to pick up $0.09 to last year's results. If you recall, the weather in the fourth quarter of last year was extremely mild. We also will not have a Millstone refueling outage this fall, which picks up $0.07 for us. The combined benefits of higher capacity performance revenues and lower payments to non-utility generators add $0.16 per share to year-over-year results. The majority of the benefit comes from passive performance (9:48) payments based on last year's auction results and will begin this summer. Also, as we have said previously, we are constructing more solar projects this year, which produces an incremental $0.04 per share for the period. And, finally, our restructuring changes and normal growth produced $0.02 per share and $0.04 per share, respectively, of higher earnings for the six-month period. We hope this breakdown of our growth in the second half of this year provides clarity to achieving our 2016 guidance. As to hedging, you can find our hedge positions on page 27 of the Earnings Release Kit. As of mid-April, we were hedged 93% of our expected 2016 production at Millstone and 8% of our expected 2017 production. Regarding Millstone, I would like to point out that multiple New England states, including Connecticut, have been discussing longer-term RFPs aimed at maintaining fuel diversity and environmental benefits. I do not want to speculate on the outcome of these legislative discussions, but we would be an active participant in any future solicitations. So let me summarize my financial review. Operating earnings were $0.96 per share for the first quarter of 2016, which was in the middle of our guidance range. Operating results for Dominion Midstream Partners were in line with management's expectations and adjusted EBITDA was more than double to the level of last year's first quarter. And finally, Dominion's operating earnings guidance for the second quarter of 2016 is $0.65 to $0.75 per share and our operating earnings guidance for the year remains $3.60 to $4 per share. I will now turn the call over to Tom Farrell.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Good morning. Strong operational and safety performance continued in the first quarter. Dominion was ranked number one in safety among electric utilities in the Southeast. OSHA recordables for each of our business units were roughly one-half the level recorded last year and last year had tied an all-time company record. In fact, excluding contract-related incidents, Dominion generation had zero OSHA recordables in the first quarter. Our nuclear fleet continues to operate very well. The net capacity factor of our six units was 96.2% for the first three months of the year. The contribution of the Warren County Power Station helped our regulated power Generation Group achieve record net generation during the first quarter. North Anna Unit 2 completed a 512-consecutive day run when it came offline in March for its scheduled refueling. This breaker-to-breaker run was a record for the unit. As Mark noted in our second quarter guidance, Millstone Unit 3 is currently in a planned refueling outage and is on plan to return to service this month. Now for an update on our growth plans. The 1,358-megawatt Brunswick County Power Station began commercial operations last week, completing a construction schedule that begin in August 2013 and was completed ahead of time and under budget. At the height of the construction, the Station had more than 1,500 workers on site. Brunswick Power Station is anticipated to have 43 employees and an annual payroll of about $7.5 million. In the first full year, the Station's operational fuel savings have been estimated to be nearly $100 million. Those fuel savings will continue over the life of the plant and the Station is expected to save consumers over $1 billion. Development and engineering continues on our next-generation construction project, the 1,588-megawatt Greensville County three-on-one combined-cycle Power Station. On March 29, the Virginia State Corporation Commission approved the CPCN and rate rider for the Greensville project. Major contracts have been executed, including the combustion turbine supply agreement with MH Power Systems and the EPC agreement with Fluor. These are the same organizations that just completed the Brunswick County Plant located about five miles away. We expect to receive the Air Permit from the Virginia Department of Environmental Quality by the end of this quarter. The $1.3 billion project is expected to achieve commercial operations in late 2018. Construction on our two large contracted solar projects, Four Brothers and Three Cedars in Utah, continues on time and on budget. Dominion is currently overseeing the construction and both projects are expected to be in service during the fall of this year. Construction of the 80-megawatt solar facility on Virginia's Eastern Shore also commenced during the first quarter and is expected to be complete in the fourth quarter of this year. The output from the Eastern Shore facility is under contract with Amazon. We are also working on a number of regulated solar projects within the State of Virginia. A hearing on the Application with Virginia State Corporation Commission for the construction of three solar facilities within the state was held in March and a ruling is expected by July 1. If approved, these facilities totaling 56 megawatts would be in service by late this year. Today we will be filing with the State Corporation Commission for a CPCN for a 20-megawatt solar facility at the site of our Remington Power Station. The output from the facility will be sold to the Commonwealth of Virginia and Renewable Energy Credits will be sold to Microsoft, who will retire them. We have a number of electric transmission projects at various stages of regulatory approval and construction. Three of these were completed in the first quarter, including Phase 1 of the Loudoun-Pleasant View 500kV Rebuild. We expect to place approximately $650 million of new transmission assets into service this year. An Application for Phase 1 of our Strategic Underground Program was filed with the State Corporation Commission in December. The filing, which includes a cost-benefit analysis, covers 400 miles of distribution lines to be converted by August of this year at a cost of $140 million. Progress on our growth plan for Dominion Energy continues as well. Our Cove Point liquefaction project is approximately 64% complete and there are about 1,600 workers on site. Engineering is 99% complete and 98% of the engineered equipment has been procured. The project continues on time and on budget for a late 2017 in-service date. We are continuing to work toward the commencement of construction on the Atlantic Coast Pipeline and the related Supply Header Project. We made the formal FERC filings for these projects last September. In March, after extensive consultation with stakeholders, we provided information to FERC on a route alternative to address Agency and public input and to avoid more sensitive areas in the National Forests. Just this week, we received a Supplemental Notice of Intent to prepare an Environmental Impact Statement as modified to include the reroute. This is a very positive development and we are pleased with our progress at FERC. We anticipate getting a FERC Order to allow us to begin construction by mid-2017. Surveying and pipeline engineering is nearly complete and will be finished this year. Material procurement is now over 70% complete and we expect to finish the construction contracts this quarter. We have modified the sequence of construction with our contractors. As a result, the modest delay in permitting will not delay the completion of the Atlantic Coast Pipeline or the Supply Header scheduled in late 2018. We had one pipeline project go on line in December in South Carolina, flowing 45,000 dekatherms per day, and Western Access 2 went online in January with 450,000 dekatherms per day capacity. We currently have an additional 11 pipeline growth projects underway with $1 billion of investment to move more than 1.5 million cubic feet per day for customers by the end of 2018. The majority of these projects are demand-driven, moving gas to end-use power generation for local distribution companies. Turning to our farm-out activity. We have enjoyed significant success with our Marcellus and Utica acreage farm-out program, which began in 2013. Our current focus is on the portfolio of remaining Utica acreage packages and the prospect of restructuring of previously-completed transactions. While many producers are pulling back near-term drilling plans, there remains significant interest in several areas throughout our farm-out program. We are currently in discussions with multiple parties and expect to again realize significant value later this year. On March 31, Dominion filed its Base Rate Case for our North Carolina service territory, seeking approval of $51.1 million increase in Base Rate revenues based on a 10.5% return on equity. Most of the proposed increase is expected to be offset by reductions in the fuel factor and a two-year rider to refund excess deferred income taxes. Company has requested to implement the new rates on a temporary basis on November 1, with permanent rates to be in effect on January 1. Finally, I want to update you on our pending merger with Questar Corporation. Hart-Scott-Rodino clearance for the Questar transaction was received on February 22 and their shareholder vote is scheduled for May 12. Merger applications were filed with the Utah and Wyoming Public Service Commissions and notice was provided to the Idaho Commission. Technical conferences were completed last week and discovery is underway. The Utah hearing is scheduled for August 22 and the Wyoming hearing is scheduled for September 14. We expect to close the transaction later this year. So to summarize, our businesses delivered strong operating and exceptional safety performance in the first quarter. The Brunswick County Power Station is now complete and in service ahead of time and under budget. The Greensville County Project has been approved and site preparation is underway. We continue to work toward FERC approval for the Atlantic Coast Pipeline and the Supply Header Project. Construction on the Cove Point Liquefaction project is on-time and on-budget, and we are working towards a successful close from our combination with Questar Corporation later this year. Thank you, and we are ready to take questions.
Operator: Thank you. Our first question comes from Greg Gordon with Evercore ISI. Sir, you may begin.
Greg Gordon - Evercore ISI: Thanks. Good morning, guys.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Morning, Greg.
Greg Gordon - Evercore ISI: As you didn't talk about or reiterate your near-term or long-term earnings growth aspirations. Can I assume that they all remain in place? And then, if so, over the last three months, four months, have there been any major evolutions in things that would be going in or going out of the asset profile or the margin profile that have changed relative to what you thought three months, four months ago?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Greg, this is Mark. I would say nothing in the last three months or four months. We still have the same targeted growth levels that we've talked about historically. But I would say that over the last six months or eight months, that power prices in the Northeast have been weak. We think they will recover as we move into 2017. But that's probably the one variable that's out there that has gotten more negative over the last six months or eight months.
Greg Gordon - Evercore ISI: Okay. And can you give us any sense of timing on the rest of the financing activity for Questar?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: It'll all be done between now and close, except for the DM equity which I think I said on the last call that we have, as part of our bridge financing, taken out a one-year term loan that is effective at close for up to one year that gives us flexibility to access the DM marketplace when we want. But the rest of the financing will be completed between now and close.
Greg Gordon - Evercore ISI: Great. That's all for me, guys. Thank you.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Thanks, Greg.
Operator: Thank you. Our next question comes from Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. Good morning.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Morning, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. So, a couple quick questions here. First, you kind of alluded to it already in the prepared remarks, but can you elaborate a little bit on Blue Racer opportunities? Where do you see that trending right now in terms of your quarter-over-quarter developments? Obviously, we've seen gas prices come back a little bit here. And then the second question related. What about Wexpro? Are there opportunities to reinvigorate that investment plan, either because of pricing improvements or, perhaps more importantly, because of developments on the land side or what have you?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Julien, with respect to Blue Racer, Blue Racer continues along its plan. There haven't been any changes there. It's a very insignificant part of Dominion's earnings. But it's doing as anticipated and as we expected it to do this year and it's contributing as it should to the earnings profile. With respect to Wexpro, we're going to reserve all of our comments on what happens with Questar and on what our plans are with Questar until after their shareholders vote and we have a chance to further our dialogue with their management team.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And then unrelated, if you can talk about the renewables opportunity. Obviously you guys are trying to scale that in Virginia. But given the extensions, how are you speaking about deploying further, especially solar, assets in 2017 and 2018 as you think about any potential pressures on your earnings growth because of commodity, et cetera?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Well, we're looking primarily in Virginia, both regulated and, as we discussed in the script, a couple of different quasi-regulated opportunities have arisen. Now, we're looking actively there. As you commented, we're much more interested in solar than we are in wind. Wind is not a good asset in the territories where we do business for producing power reliably. Solar is better and we are continuing to look at 2017 and 2018. So far with respect to all of our other growth projects, they're all on time and on budget or ahead of time and below budget. And we'll see how we go along through time and see if we're going to deploy any additional capital into renewable projects.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And last quick clarification. Next biennial review process, obviously you had the latest ROE outcome. When is the next time you could be called in?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: 2023.
Julien Dumoulin-Smith - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the Jonathan Arnold with Deutsche Bank.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Hi. Good morning, guys.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Morning.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: If you could, I'd like to understand the $0.16 CP, Capacity Performance, driver in the second half. Can you just remind us – I think we talked about this before, but does that persist into 2017, like through the first half of the performance year? And then does it also persist beyond the 2016, 2017 year?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Jonathan, this is Mark. Obviously, we had a huge pick up on the Capacity Performance Auction, which we think a lot of people probably overlooked in both 2016 and 2017. The 2016 number on just Capacity Performance will be higher than it is in 2017, but when you combine that with node rolloffs, it will be about the same year-over-year. And if you add on top of that the Millstone capacity in 2017 over 2016, we will actually have an increase in our total income associated with capacity from 2016 to 2017 when you combine those three together. But we were a very, very large beneficiary. And as you reference, year-over-year it's $0.16 for Capacity Performance. It's $0.14 in the last six months and there's about $0.02 worth of incremental rolloff of nodes in the last six months. That brings you to your $0.16 total.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So is there a roughly similar uplift in first half of 2017?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: On Capacity Performance specifically, the number is lower. But as I mentioned, if you combine all of our capacity resources, Millstone and node obligations, the number is actually higher.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Right. But then as you roll into the next capacity year? Sorry, I may have missed your answer here.
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Remember how this capacity option works on PJM. You had to cover 60% of your load in the first year and I then think it was 70% of your load. So the opportunity on Capacity Performance will get smaller as you have to cover more of your load moving forward. So 2016 is the biggest year for that one single item and it starts to whittle down from there, but we're quite pleased with the result for us.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. Thank you, Mark. And then you referenced – I think Tom mentioned at the end of his remarks there was a possible restructuring of one of the farm-out deals that you'd previously struck? Can you give a little more insight into what you're alluding to there, what form that might take?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: We did one last year, Greg (29:06), and they could be a variety of different examples. Some of the cases, when we did the farm-outs, there were agreed-to drilling schedules. And, for example, if someone want to modify the drilling schedule, they would have to compensate us for that. So that's the kind of activity we're looking at. But the primary activity is in the traditional farm-out. We still have a lot of Utica acreage and we have a tremendous amount of interest in it.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. So, the restructuring would be a smaller item than hopefully entering into new ones?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: May or may not be. I wouldn't necessarily draw that conclusion, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. Thanks very much.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Stephen Byrd with Morgan Stanley.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Hi. Good morning.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Good morning.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Wanted to dig into the Connecticut legislation and just first perhaps try to understand the next steps involved and then we can discuss a little bit more about how that would exactly function. But just next steps, what should we be looking for there?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Well, the legislation you're referring to was adopted in the Senate and it has not yet been adopted by the House. I believe Connecticut Legislature finishes their work today. But I think this is a part of a dialogue that's going on all through New England and that's going to continue, it's going on in Massachusetts, it's happening in Maine, it's happening in New Hampshire, on how to deal with the carbon rules and existing carbon-free generation, which Millstone obviously is the largest asset in New England. It provides half of Connecticut's power when both units are operating in its normal operations. And Connecticut has very little prospect of complying with carbon rules if Millstone were to shut down at some point. So I think the legislature, the political hierarchy in Connecticut is aware of that. We're following the legislation, obviously, closely. But I think it's part of an overall dialogue that will take place over the next few months in New England generally about how to protect these assets, of which I guess there are only two left that are still going to be running, Seabrook and Millstone, which is about twice the size of Seabrook.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. That's helpful. And in terms, is there a timeline in Connecticut through which we need to see either progress or resolution, i.e., is this fairly binary in terms of deadlines for passage or are there opportunities to hold, for example, I'm not sure, special sessions or you mentioned an ongoing dialogue? I'm trying to think through what milestones we should be looking for there.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: I think it's going to be an ongoing dialogue. They recessed or adjourned, whatever the right word is. They finished their work today.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. And is it possible to have a special session or some other opportunity for passage at a later date, or when would the next opportunity be if it were to pass now?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: There's certainly always a possibility for a special session in any legislative body. But I would expect it to continue over into the next regular session of the Connecticut Legislature.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. Thank you very much.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Steve Fleishman with Wolfe Research.
Steve Fleishman - Wolfe Research LLC: Yeah, hi. Good morning. I guess...
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Morning, Steve.
Steve Fleishman - Wolfe Research LLC: Hey, Tom. Just to follow up on that last question, date – when is the next Connecticut legislative session? Is there still another one this year?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: No, they reconvene in January.
Steve Fleishman - Wolfe Research LLC: January. Okay. And do you expect any legislation to get done today, or you don't think it's going to get done today?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: I've been in my job long enough to never speculate on what's going to happen in the legislature.
Steve Fleishman - Wolfe Research LLC: Okay.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: But I know the same conversation's going on in Massachusetts.
Steve Fleishman - Wolfe Research LLC: Okay. And is their session still last for a while?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Yep, sure does.
Steve Fleishman - Wolfe Research LLC: Okay. Just to clarify, though, you mentioned looking at opportunities for long-term RFPs, fuel diversity, et cetera. So as the RFPs are currently structured, can you bid Millstone into any of them? Or is it all...
Thomas F. Farrell - Chairman, President & Chief Executive Officer: No.
Steve Fleishman - Wolfe Research LLC: Because I thought they only had to be new generation.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: No, it's renewables. As I understand the Connecticut legislation, it would be structured so that Millstone would be allowed to bid as a part of the non-carbon or renewable energy component to these RFPs components of these RFPs. It's quite...
Steve Fleishman - Wolfe Research LLC: Okay.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: ...creative and, I think, appropriate. It is carbon-free and it's baseload, and they can't make their requirements without it.
Steve Fleishman - Wolfe Research LLC: And just to clarify, this has to be done through legislation. It cannot be done through Commission actions and things like that?
Thomas F. Farrell - Chairman, President & Chief Executive Officer: That's correct.
Steve Fleishman - Wolfe Research LLC: Okay. And then just one question on the – and I apologize on the detail on this -- just on the Capacity Performance, so (34:47) to make sure I understand this. So your Virginia generation is getting Capacity Performance on all the generation. But in this year, you only have to buy out 60% Capacity Performance from your Utility. But as that 60% goes to 100%, then they'll match up and there won't be a benefit. But there's a benefit from that mismatch. Is that correct?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Hey, Steve. This is Mark. That is almost correct. The assumption, though, that you get the benefit for all of your generation is probably not correct. Each company would have to make a decision on how much they wanted to bid in that generation against their Capacity Performance and hedge their risk for any units that might not perform. So, we made that analysis and based on the generation we bid in covering our load requirements at 60% in the first year, that excess is the benefit that I referenced.
Steve Fleishman - Wolfe Research LLC: Okay. And going back to the first question on your growth rates and targets and all that stuff. So you're reaffirming 2016, but in terms of the growth rates that you I guess re-mentioned when you announced the Questar deal, are those still good or are you wanting some of these pieces to come together before you reaffirm them? I just want to make sure I'm clear what you're communicating.
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: They're still good.
Steve Fleishman - Wolfe Research LLC: Okay, great. Okay, great. Thank you.
Operator: Thank you. Our next question comes from Michael Lapides with Goldman Sachs.
Michael Lapides - Goldman Sachs & Co.: Hey, that was close. Hey, guys. Thanks for taking my question and congrats on a good start to the year.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Thank you.
Michael Lapides - Goldman Sachs & Co.: Two things. One, I notice you all took about a $70 million pre-tax charge related to severance. Can you talk a little bit about what's going on there and what your plans are company-wide in terms of O&M, what's embedded in guidance?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Hey, Michael. This is Mark. The program that was referenced was really an effort across all the businesses and the corporate support areas to drive decision-making to a lower level, eliminate layers of management, increase management control and make the decision-making really more efficient by having those fewer layers. So that was the focus. We took a charge of about $70 million pre-tax. I think it's $43 million after-tax. And those labor costs will be recouped as the employees move on and so you'll see a full year's benefit in 2017 and a partial benefit in 2016. In terms of ongoing O&M, we're targeting a flat to CPI growth on O&M going forward. It will probably be different year-by-year and the only thing that would change on that of significance would be the outage period for Millstone, we might have two outages versus one in a given year. But I look for us and for you to model a flat to CPI growth on O&M going forward.
Michael Lapides - Goldman Sachs & Co.: Got it. And real quick, can you talk about what was weather-normalized power demand for Virginia Power in the quarter and how does that differ versus your expectation?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Sales weather-normalized for the quarter were down about a little over 1%. We have an annual expectation of a 1% positive sales growth for the year. We still feel pretty good about that. So that was a net for the first quarter. April seems solid and supporting the 1% growth. And we had actually pretty strong growth in all sectors but residential. I would add, as I always do on sales, is when you're coming and comparing to a very significant weather season, we had a very strong first quarter of 2015 on weather and a light 2016, and so the weather normalization process is not penny accurate. That's why we think 1% growth is still a good assumption for us. Also recall at 1% growth year-over-year, it only equates to about $0.04 a share or $0.05 a share for us.
Michael Lapides - Goldman Sachs & Co.: Got it. Okay. Thanks, Mark. Much appreciated.
Operator: Thank you. Our next question comes from Paul Patterson with Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Good morning.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Morning, Paul.
Paul Patterson - Glenrock Associates LLC: And I apologize, but Michael (39;52) to a certain degree. The ODI, it looks like there's a $0.02 benefit in the second half of this year. How should we think about that going forward? And in general, the expense – I'm sorry, the organizational design initiatives and how should we think about the expense associated with that, the one-time or do you think you might see more of that going forward? Or how should we think about those things?
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Hey, Paul. This is Mark. No, I don't think you should think about additional programs going forward. We took a one-time charge, as we always do with a non-reoccurring event, and disclosed that. And we showed on a breakdown on Slide 8 that we would expect to see lower operating expenses in labor due to lower the staffing levels of about $0.02 this year for the last six months of the year. And I would expect to see probably $0.04 or $0.05 next year, which is supportive of the growth rate that we have out there.
Paul Patterson - Glenrock Associates LLC: Okay. And that's it. Actually all the other questions were asked.
Mark F. McGettrick - Chief Financial Officer, Director & Executive VP: Thank you.
Thomas F. Farrell - Chairman, President & Chief Executive Officer: Thanks, Paul.